Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Quad/Graphics First (sic) [Second] Quarter 2012 Conference Call. [Operator Instructions] I would now like to turn the conference call over to Mr. Kelly Vanderboom, Vice President and Treasurer for Quad/Graphics. Kelly, please go ahead. 
Kelly Vanderboom: Thank you, operator, and good morning, everyone. With me today are Joel Quadracci, Chairman, President and Chief Executive Officer; John Fowler, Executive Vice President and Chief Financial Officer; and Dave Honan, Vice President, Corporate Controller and Chief Accounting Officer. Joel will lead off today with a high-level review of our top achievements for the second quarter and provide an update on our key strategic focus areas. John will follow with a more detailed review of our financial results, which will then be followed by Q&A. 
 I would like to remind everyone that this call is being webcast, and forward-looking statements are subject to Safe Harbor provisions as outlined in our quarterly news release and in today's slide presentation. The slide presentation can be accessed through a link on the Investor Relations section of the Quad/Graphics website at www.qg.com. There are also detailed instructions on how to access the slide presentation in our second quarter earnings press release issued last evening. A replay of the call will also be posted on the Investor Relations section of the Quad website after the live call concludes. 
 I will now turn the call over to Joel. 
J. Joel Quadracci: Thanks, Kelly, and good morning, everyone, and thank you for joining our call today. I would like to begin our second quarter performance review by highlighting 3 areas where we continue to show progress. First, our trend of generating strong recurring free cash flow continued into the second quarter where we generated $60 million. On a year-to-date basis, we generated $167 million of recurring free cash flow compared to $102 million for the same period in 2011. We are proud of our consistent track record, and as we look forward, we remain confident in the cash-generating power of our company. 
 Second, I would like to note the continued progress we are making to strengthen our balance sheet and maintain strong credit metrics. During the second quarter, a period that most of you know is impacted by lower seasonal volumes, we paid down $42 million in debt. For the year, we have paid off more than $132 million in debt, and our leverage ratio of 2.2x remains within our targeted range of 2 to 2.5x. We continued with our conservative view towards the use of cash and during the quarter, chose not to buy back shares, but instead, focused on paying down debt and pension liabilities. We will continue to remain flexible and opportunistic in terms of our future plans for capital deployment. As always, the priorities for our capital will be adjusted based on prevailing circumstances and what we think is best for shareholder value creation at any particular point in time. 
 The third area of progress that I would like to highlight this morning is that on July 2, the company marked the 2-year anniversary of the Worldcolor acquisition. I am proud to say that during the second quarter, we officially and successfully completed the largest integration ever undertaken in the printing industry. 
 As I reflected in our journey over the past 24 months, I am pleased and impressed by 3 significant achievements. First, the incredible effort of so many employees who sacrificed time with their families so they could roll up their sleeves and get the job done. Second, the unwavering commitment and support from loyal customers who stood with us as we transformed our platform. And third, the fact that 2 formidable rivals came together so quickly in the spirit of making one truly great company. 
 This was not an easy undertaking especially when you consider that it was done during unprecedented economic times, times that clearly accelerated the industry's transformation. We closed the integration process with a well-balanced scorecard that incorporates 4 key areas: Financial metrics, customer retention, employee integration and IT integration. 
 First, from a financial perspective, we are on track to achieve slightly more than $275 million of annual synergy savings and exceed our original guidance of $225 million by more than 20%. Our onetime cost to achieve this synergy will be less than $225 million, well within the expected range of $195 million to $240 million. We spent approximately $0.80 for every dollar of synergy we created, a ratio that we are quite proud of and one that we worked hard to obtain. 
 From a customer retention perspective, we focused on keeping our customers' needs at the forefront of the entire integration process while we made platform changes that benefited our company and our customers. In the end, we transitioned approximately 580 customer titles to more efficient platforms. At the same time, we streamlined our sales structure to better serve our customers and help to take advantage of the entire continuum of our expanded product and service offering. As we know, change is not easy. So I sincerely thank our customers for their dedication and commitment to Quad/Graphics over the last 24 months. 
 From an employee integration perspective, our efforts extended to a number of different areas, including the rollout of our Quad blues uniforms, which are proudly worn throughout the company and by me. As a company, we spend time educating employees about our unique culture and values. We also consolidated 73 different holiday schedules, 66 different vacation plans and 73 different employee handbooks into one common set of company policies. 
 Another major undertaking was harmonizing healthcare plans in the United States and introducing our own QuadMed brand patient care. Our QuadMed subsidiary provides high-quality primary care services with a focus on prevention to keep our employees healthy and productive loss significantly reducing our healthcare cost. 
 As it relates to retirement plans, we reestablished retirement benefits for eligible employees who had, had their pension frozen. Employees are now participating in our personal enrichment plan, which includes a 401(k) and company match on employees' weekly contributions. The plan also features the opportunity for annual profit-sharing contributions. And during the second quarter, eligible employees received their very first profit-sharing contribution as a combined company. 
 From an IT integration perspective, we executed a complex integration plan to deploy our proprietary brand of ERP software tools across our manufacturing platform. This allowed for increased efficiency and operational visibility across our entire platform. We also fully integrated our logistics systems to provide a unified IT solution for managing freight across North America. In the end, we created a stronger, more efficient platform that has positioned us to compete more effectively as we move forward. 
 I am often asked if you could do the Worldcolor acquisition all over again, would you? And without hesitation, the answer is most certainly yes. We have been on a transformative journey over the last 24 months, and while it has had its highs and its lows, we learned a tremendous amount. And in the end, we leveraged the best of both platforms to provide our customers with leading-edge manufacturing and distribution platform, expand our geographic footprint and product offering to better serve our customers, brought together the best and brightest employees in the industry to continue to innovate and redefine print in a multichannel world and proved our expertise in successfully completing a large complex integration. 
 I am grateful for the hard work and dedication of so many employees who helped make this achievement possible. I also want to take this opportunity to acknowledge the hard work that is currently taking place on our integration efforts in Mexico. We have been applying the same disciplined approach to integrating Transcontinental's operations with our own in Mexico, and I'm happy to report that our plans are advancing as anticipated. We are pleased with the progress we are making, and that the acquisition has been so well-received by our customer base in Mexico. 
 Slide 5 summarizes the 5 key strategic focus areas under our control, which we believe best position us for stability and long-term success. Our customer-centric approach provides the foundation for renewing our core business and growing profit[ph]  share. For example, in our marketing solutions group, we recently signed a multi-year agreement with the Bon-Ton department stores, which operates more than 270 department stores in 23 states under the nameplates, including Bon-Ton, Bergner's, Boston Store, Carson Pirie Scott, Elder-Beerman, Herberger’s, Younker’s and Parisian. Quad has been a valued direct mail and catalog supplier to the company for many years, and now with our expanded platform, Bon-Ton just awarded us their retail insert program while also renewing their catalog business. Bon-Ton values our team, they value our technology, and they felt confident in trusting us with their direct mail and insert program requirements. Bon-Ton represents just one of many sales success stories we are seeing from the recent streamlining of our sales structure, which enhanced our ability to sell the full continuum of our offering. This approach creates value for our company and also creates value for our customers who discover and benefit from the efficiencies of a strong single source supplier. 
 In our publishing solutions group, we are honored to announce a new agreement with National Geographic, one of our most distinguished and long-standing accounts. National Geographic is best known for its flagship magazine that we are under contract to print into the next decade. We recently signed an agreement to continue printing its special interest magazines that include the National Geographic Traveler, Little Kids and Kids titles plus its catalogs. A key component of our new catalog proposal included our co-mail solutions that will help National Geographic save a considerable amount on postage. 
 This success is a perfect example of our strategy to win market share by creating value in 2 distinct ways. First, to maximize the revenue customers derive from their print spend by providing integrated solutions that span the continuum of our offering; and second, by helping them reduce production and distribution costs, arguably the largest expenditure on their income statement. 
 Our mailing and distribution capabilities are a big part of how we help our customers reduce cost. We have built a leading platform with software capabilities and volume that are second to none in the industry. In the first 6 months of 2012, we have co-mailed 1.8 billion magazine, catalog and direct-mail pieces, which represents a 17% increase over 2011. As we combine the substantial volume with our unique software to merge mail streams, we are able to provide our customers with significant postal savings. We believe this gives us a long-term sustainable advantage versus our competition. 
 Our next key strategic focus area is redefining print, and just today, we proudly announced how we helped Maxim, the largest young men's lifestyle magazine in America, redefine print. The September issue of Maxim, which hits newsstands nationwide on August 14, will feature the publication's new MAXIM MOTION experience powered by Actable, our own interactive print solutions app. Maxim readers will now be able to see a model's image come to life on the printed cover and select pages inside the magazine by using the camera on any app-enabled mobile device. 
 We used a combination of image recognition and augmented reality techniques to launch related video content directly from the printed page where the video appears to play seemingly right on the page. This makes for a fun and interactive experience with print that does not involve QR codes. Maxim will also be able to measure and analyze app performance through Actable's sophisticated analytics and reporting feature. 
 I spent quite a bit of time in the marketplace talking about our interactive print solutions, and I hear what a challenge it is for our customers to integrate all media channels. We believe we are perfectly positioned as a technology integrator, helping our customers integrate the latest and greatest technology with print. 
 Our interactive print solutions came out of our Quad idea catapult, a framework for capturing and implementing innovative ideas from anywhere within the company. This is a perfect example of how we empower employees to actively participate improving our company. 
 Innovation can be found in both big and small areas. For example, just recently, an employee in our Sussex finishing department suggested we create an app for accessing work schedules on a mobile device. Within weeks, we launched our new Quad work schedule app for smartphones. This is just one of the many examples of our unique culture, and how we empower our employees every day to find a better way. 
 John will cover the remaining key focus areas in his financial overview for the quarter. So I will close with the fact that we remain confident in the strength of our balance sheet and our ability to generate strong recurring free cash flow. We will remain focused on those areas in our control and believe that we are well-positioned to take market share and succeed in this industry despite existing challenges. 
 With that, I will hand it over to John. 
John Fowler: Thanks, Joel, and welcome, everyone. Slide 6 is a snapshot of our second quarter 2012 financial results as compared to our second quarter in 2011. 
 Net sales were $934 million, which compares to second quarter 2011 revenue of $977 million. This 4% decline reflects the expected volume and pricing pressures. Cost of sales of $741 million was lower than second quarter 2011 cost of sales of $757 million. 
 SG&A expense was $81 million as compared to $105 million in 2011. Depreciation and amortization was $85 million compared to $84 million in the second quarter of 2011. 
 Interest expense at $21 million was 29% lower than the second quarter of 2011 interest expense of $29 million due to our focus on debt reduction, as well as the refinancing we successfully completed in July 2011. Our adjusted EBITDA was $112 million versus $116 million for the second quarter of 2011. Our adjusted EBITDA margin for the quarter was 12% as compared to 11.9% in the second quarter of 2011. 
 We have once again included an adjusted EBITDA bridge in our slide deck to better explain the impact of adjusted EBITDA in the quarter. There are 3 major positive impacts for the quarter. First, our incremental synergies of $21 million. Second, a reduction in selling, general and administrative expense of $13 million. This reduction was due to our focused effort to create sustainable cost reductions that are over and above the Worldcolor integration synergies and connect to our goal of converting the majority of our cost to variable, including components of fixed cost and SG&A. And finally, a reduction to bad debt expense of $6 million. This was primarily related to a favorable contract renegotiation of payment terms that resulted in a reduction to our bad debt reserve. 
 These positive impacts were offset by volume and price declines that impacted adjusted EBITDA by $36 million during the quarter. As expected, ongoing volume and price impacts during the quarter were the largest driver of this decline, and $8 million attributable to the book business, which reflects both volume and productivity issues. 
 As Joel mentioned earlier, we are proud of our consistent recurring free cash flow and the work we are doing to maintain a strong balance sheet. Our recurring free cash flow, which we define as cash flow from operating activities less capital spending and excluding nonrecurring items such as restructuring costs, was $60 million in the second quarter and $167 million on a year-to-date basis. We believe recurring free cash flow is an important metric for us, and we expect our business to continue to generate a significant amount of recurring free cash flow. We will continue to actively manage working capital and the efficient investment in capital expenditures. 
 The reconciliation of recurring free cash flow for the 3- and 6-months ended June 30, 2012, is included in the supplemental information located in our slide presentation. The continued strong recurring free cash flow provides us with the ability to pay down our debt and pension liabilities. 
 During the quarter, we paid down debt of $42 million and $132 million in the first 6 months. This represents a total of $457 million of debt paid down since the close of the Worldcolor acquisition just 2 years ago. Our pension, multi-employer pension plans, or MEPs, and postretirement liabilities were $547 million as of July 2, 2010, when we acquired Worldcolor. As of June 30, 2012, this liability was $376 million representing a reduction of $171 million, of which $31 million has been paid down in 2012. 
 Slide 9 provides a summary of the improvements we continue to make from our December 31, 2011, debt metrics. Our interest coverage ratio for the quarter increased to 6.7x versus 5.9x at the end of last year. Our leverage ratio of 2.2x represents a reduction as compared to the 2.3x at the end of 2011. This reflects our efforts to both manage the components of working capital, as well as ensure we are making the right capital allocation decisions. 
 We are pleased to be within our targeted range and continue to believe that operating in a 2.0 to 2.5x leverage range is the appropriate target. However, we acknowledge that at times we may decide to go above or below that range given economic changes, working capital seasonality, timing of investments and growth opportunities. A component of our financial strength is having a balance sheet that is strong and flexible so that we can adjust to changing economic conditions, invest in our business, pursue growth opportunities and return value to our shareholders through our quarterly cash dividend. 
 At the top of Slide 10, you will note that we continue to have no borrowings under our $850 million revolver at the end of the second quarter 2012. Interest expense decreased 29% to $21 million, representing a significant decrease from 2011. Our floating rate debt today is at an average rate of 3.0%. Long-term fixed rate debt, consisting of private placement notes, continues to be at an average interest rate of 7.5% and has an average maturity of 10 years with a weighted average life of 6 years. 
 The blended interest rate on our total debt is 5.0%, and the outstanding principal balances are 54% floating and 46% fixed. We have no significant debt maturity until July 2016, which includes our main revolver that was successfully completed in July 2011. Given the significant flexibility under our revolver and our strong recurring free cash flow, we believe we have sufficient liquidity for current business needs, sustaining the dividend and supporting future investments. 
 As expected, year-to-date June 2012 net sales were $1.92 billion or 4% lower than 2011. Cost of sales at $1.5 billion was 2% lower than 2011. Year-to-date SG&A expense was $173 million as compared to $203 million in 2011. Depreciation and amortization was $169 million in 2012 as compared to $171 million in 2011. Interest expense was $42 million, representing a 29% reduction from the $59 million in 2011. Adjusted EBITDA and adjusted EBITDA margin were $238 million and 12.4%, respectively. This compares to $258 million and 12.9% for the same period in 2011. I would like to note that our quarterly dividend of $0.25 per share will be paid upon September 21, 2012, to shareholders of record as of September 10, 2012. 
 I will close by stating that although we are satisfied in the areas of achievement that Joel highlighted in the first part of our call, we continue to remain cautious given the low visibility and sluggishness in the economy. Given these challenges, we will continue to manage those areas under our control that include improving productivity, implementing sustainable cost reductions to be the low-cost producer and continuing to generate consistent and strong recurring free cash flow to maintain a strong balance sheet and pursue appropriate investments that create long-term value for our company and our shareholders. 
 I would now like to turn the call back to the operator who will facilitate taking your questions. Operator? 
Operator: [Operator Instructions] Your first question comes from Scott Cuthbertson with TD Securities. 
Scott Cuthbertson: A couple of things. Just wondered with respect to the EBITDA bridge, John, the synergy realizations you had there, I'm just trying to add it all up to $275 million. From your preamble, I take it you're not really including the $13 million in SG&A as part of sort of $275 million that you now will realize from the integration of Quad. So I guess, there's another sort of $33 million left to go. Is that correct? 
John Fowler: Dave, why don't you take that? 
David Honan: Sure. The $13 million is not included in that synergy number. The $275 million is an annualized run rate. To date -- you'll see that, when we file our Q later today, there's $242 million that's been realized through the P&L or the synergies. The remainder -- the difference between that $275 million and $242 million will come through mostly throughout the rest of the year, and some of that will trickle on in to 2013 on an annualized basis as those come through our P&L. 
Scott Cuthbertson: Okay, great. And I'm just sort of thinking ahead to 2013. I mean, if we just, for the sake of simplicity, assume all the synergies from the acquisition will be realized in 2012. I mean, you basically in the quarter you had between the $21 million in incremental synergies from the acquisition integration and the $13 million in SG&A. That was pretty much flat in terms of offsetting the volume and price headwind that you had of, I think, it was $36 million. So I mean, if we take out the incremental synergies of $21 million, it's going to be a tougher sort of headwind going into 2013. Can you sort of speak to how the EBITDA momentum or dynamics will change once you've finished the integration and as you move forward into 2013? 
John Fowler: Yes, Scott, this is John. I think we've been indicating over the last 2 or 3 calls that our focus has really changed away from just focusing on the integration and the synergies that are coming from the integration recognizing that we're in an industry that does have the volume headwinds, and therefore, it's really about continuous cost reduction. And so, I think, we've been demonstrating that we're able to continuously take cost out whether it's on the manufacturing floor, whether it's in SG&A and things like travel or professional expenses, and we continue -- I think, we're doing a really good job of applying the continuous improvement techniques throughout manufacturing and especially now into the whole selling and administrative area. 
J. Joel Quadracci: Scott, this is Joel. Just to add on to that, I mean, Quad has been doing lean manufacturing throughout our process or close to it coming up on a decade, I guess. And it's a process that you don't do overnight. And so as you think about the expanded platform we have, we're spending a lot of effort in implementing lean manufacturing throughout. And so to John's point, we're geared in sort of the Quad world of continuous improvement and know how to do it, but there's lots of opportunity as we continue to push that throughout the rest of the platform. So while the integration may be finished, we still have opportunity in terms of what we do with that improvement. 
Scott Cuthbertson: Okay. That's helpful. And I mean, I know it's always difficult to quantify that, but is the $13 million that you realized this quarter a reasonable example of what you think you may be able to do going forward in that respect? 
John Fowler: You're talking about in the SG&A, Scott? 
Scott Cuthbertson: Yes, that's right. 
John Fowler: Yes, it is. 
Scott Cuthbertson: Okay, good. And the other thing, John, I just wondered, and forgive me, I should refresh myself on the terms and conditions of your private bonds. But you've done a great job on debt reduction and obviously, those bonds have a higher coupon than some of the other parts of your capital structure. But what is your ability to repay those bonds early if you saw fit to allocate your capital in that way? 
John Fowler: We have the ability. The nature of the private placement notes is there, they make whole[ph] . So you have to go through the economic analysis. But I think, as we look at it, Scott, to us, it's really managing the risk of the overall balance sheet. So I think, it is important to have a component that is fixed. I think, it's really important to have the private placement notes with that 10-year final life and the amortization that's a ratable amortization. I think, a lot of times, it's not just the interest rate of your debt or the amount of your debt, but it's frankly, how you have the debt structured. So we found that to be a good strong anchor to have, and I think we'll always want to continue to have longer-term maturity-type notes and notes with a fixed interest rate as opposed to just relying on 5- to 7-year debt and floating rate. 
Scott Cuthbertson: That makes sense. And the other thing I wondered there's a couple of moving pieces obviously in the -- if you look at the different divisions. Is it possible to quantify the impact of the asset swap with Transcontinental on your numbers this quarter, obviously, in the international division that had a bit of an impact? 
John Fowler: Well, as you know, we treated Canada as discontinued so it's out of the comparison. So that's not creating any noise. And as it relates to the assets acquired in Mexico, the incremental revenues in the quarter were $18 million and $36 million in the first 6 months. 
Scott Cuthbertson: Great. Very helpful. And the last thing I wanted to ask, Joel, just a bigger picture question. As we roll through the Q3 results from the broadcast fiscal year here in Canada and some Q2 results from some other media companies up here as well. Up here, we had like basically a strike on advertising in April where everybody was -- didn't spend much money. And then things have gradually improved through May, June and July, and the outlook for the fall is much more optimistic than it was in the spring looking at the summer. I just wondered sort of what the tone is down there with respect to your view of advertising demand as we head into your more busy season. 
J. Joel Quadracci: I'd probably characterize it as visibility is still really tough. I'm not sure that we have gotten a lot of indications maybe that far out like you have, but it's interesting. And we certainly saw advertising come down in the first half by about 8%. And again, advertising is one of those things that people can cut quickly when they see sort of stormy clouds ahead and we certainly have seen stormy clouds. But if I look at this month's Vogue magazine or InStyle, I mean, Vogue alone had 650 pages of advertising and over 900 pages. It felt like a phonebook. But on the other hand, you'll see some other publications that probably aren't faring as well. So it's a little bit of a mixed bag, and I think that we'll continue to be cautious about it because of, obviously, all these sort of economic turmoil that's been happening down here and the related, I guess, visibility issues it causes amongst businesses. So we continue to be cautious about where things go, but you see some moments of light. But again, I think, until people feel confident about the future, the visibility thing is going to be an issue. 
Operator: Your next question comes from Dan Liebman with Robert W. Baird. 
Thomas Jackson: This is Tom Jackson filling in for Dan. Just looking at sequential change in gross margin here, I was hoping you could help us isolate the key factors that are impacting it. How those factors maybe trended through June, and how you see that dynamic playing out maybe in the back half of the year? 
John Fowler: Well, some of the -- Tom, this is John. I mean, clearly some of the impact that we're seeing is from the reduced volumes and the pricing pressure that we've been talking about for the past year. In the quarter and in the half, we had more paper pass through sales than what we had in 2011. So that represented some of the negative impact because those are on a pass-through basis. I guess, over all, the way we look at the business, we know we're going to have kind of moving pieces on mix, we're going to have times where we're getting more cost out of cost in sales and there are times that we had a very good quarter on the management of SG&A. And I think at the end of the day, the way we're trying to manage the business is looking at how are we doing at continuing to take cost out to be the low-cost producer? How are we doing at creating absolute EBITDA and how are we doing at converting our income statement into cash flow of absolute cash generated free cash flow from the business that could be used for growth or debt paydown, which obviously the last 3 quarters, we focused on the debt and the pension paydown. 
Thomas Jackson: Okay. And then I think -- would you be able to kind of quantify the difference between pricing and volume, the impact of the quarter? 
John Fowler: As we've talked about before, Tom, it's really difficult to try to break out that difference because you make a decision that says "here's a piece of business that you choose to not take the last pricing step for", and so therefore, it shows up in lower volume. Another piece of business you retain, and you have to be more aggressive on the price given the excess capacity that shows up in pricing. So we look at it on a combined basis. 
J. Joel Quadracci: And also as books come into the schedule -- this is Joel. It depends on the mix of pages per book and things like that. So the makeup kind of comes as it comes as, and that can have an impact on sort of the "pricing." 
Thomas Jackson: Okay. And then just going off what you mentioned on remaining firms and kinds of competitors, you've talked about in the past that some competitors have been a little bit more aggressive in pricing and sometimes you guys just have to stay intact [ph]  and not take the bait. How has that dynamic changed in the past 6 months? Have you guys relented a little bit more, and then how do you see that playing out? 
J. Joel Quadracci: Well, I think we see it as kind of being consistent with what we've been talking about. Pricing is tough, and I think as long as there's excess capacity in the industry, you're going to have companies that are just trying to keep their lights on and trying to take market share. But at the end of the day, we have chose in the past not to follow or take the bait, as you say. And other times, we say, "look we've got a great cost structure", and we'll take it because it makes sense for us. But again, we do go through a pretty disciplined process of making sure it makes sense. We can protect ourselves on any piece of business if we so choose, but that doesn't necessarily always make it a value-creating move. And so it's kind of a balancing act that we go through and an important one. But yes, the industry continues to be tough. I don't know that it's tougher than what we've said, but pricing is certainly there and as long as there's overcapacity, you'll continue to kind of see that. So everything will continue to evolve, and I think we're seeing a lot of companies kind of start to exit when you go into the smaller printer market because they're not able to sustain it. But again, it continues to be tough out there. 
Thomas Jackson: Okay. And then I was wondering if you could kind of help us break down a little bit the different segments, how mag cat retailers compare to other segments. Maybe also talk about new revenue opportunities going forward. I mean, this morning, you mentioned the Actable interactive print solution. Do you have other digital issues lined up down the pipeline or can you help us understand that? 
J. Joel Quadracci: Yes, sure. I mean, some of the smaller parts of our business such as directory, we know that that's in a decline per year and we manage it before that. So it doesn't take a lot of CapEx. We've got an excellent team that can manage down as the volume goes, and it creates good cash flow while we have it. On the books side, I'd say that books has obviously been impacted a little bit by the digital conversion with things like the Kindle but also by budgets of the state governments and that's in North America. The reality is actually if you look at our business in Mexico and in parts of Latin America or South America, actually the book demand is pretty strong. So there's, I think, a North American story and then a South American story. But again, books is a pretty small part of the business. We mentioned magazines. The advertising climate continues to be tough, and visibility is still limited. But again, I mentioned that there's some really big books going to be hitting the newsstands for the September issues, and catalogers, I'd say, are holding their own. I think, I can say that their customers are still buying albeit maybe smaller order sizes, and prospecting is a little bit tougher than before, and that really speaks to consumer confidence. And as we think about retail insert, it's kind of interesting because we saw this past year, a large retailer decided to cut way back on it and have had since reversed that plan because when you stop marketing your brand, you stop store traffic. And the reality is even though the retail insert is not sexy, it's still very powerful. And then when you talk about the media solutions group and what we did with Maxim today, there's actually quite a few things going on there. And if you have a chance to look at this, it's really, really pretty cool, and it really kind of shows the power of mobile and print and how they can link together to be much more powerful than what print and just online were. And so we have -- our pipeline is filled. The number of projects that are going on in making print more Actable, making it more integrated is tremendous. One example that comes out of this whole process is the use of video. We started last year, the year before and starting to produce some videos, small videos like product demonstration. And what our customers found, this was on the catalog side, that if you have a customer use a QR code to go to a site using a video demonstration of product they're looking at, the response rate goes way up, and the chances of selling that product go way up. And so in 2011, we ended up producing about 200 videos, and this is something we haven't done before. We have a photo group but we didn't do a lot of video. Today, we're sitting on a backlog of 4,000, just 1 -- less than 1 year later. And so we've built a whole video group around this. So that's a good example of how, I think, this connection of media really will help play well for creating new opportunity, and I think part of it is not just the revenue that comes from the media solutions group, but it's really the revenue that continues to come from changing what print is today and what it can do. And I think the other thing that you have to note when you link mobile to print is it is completely measurable. We can tell our customers what all the different phones are looking at on a page. We can tell them where they are in the United States or in the world, we can tell you how many phones are Android versus iPad. And if we know the unique identifier, we could tell you if that person came back again. And if we know the cell phone number, we can actually tell you who's doing it and tailor the experience to them. So it's some pretty powerful stuff and something that I'm very excited about. When I'm in the marketplace, which I'm spending a lot of time these days and expect to be on the road quite a bit just talking to customers, the biggest issue I hear from CMOs and CEOs is not whether or not you need a digital strategy or a mobile strategy or what's going to happen to print. Their biggest challenge is no one's telling them how to tie it all together. I don't think agencies are doing a good job with that because they tend to be siloed, but as a printer, print is still the foundation of their marketing spend, and they understand it. So when I come to them with this mobile opportunity, I'm not just showing them the mobile opportunity, I'm showing them how to integrate it into their marketing program. So kind of a long-winded answer, and I could go on hours on this one because I'm very excited about it, but it's definitely a powerful thing. And I think, we'll be driving that not only in this country, but around the world. 
Thomas Jackson: Great. And then I just have one last one. The SG&A specifically decreased a little bit more than we expected. I know you mentioned synergies and bad debt. I was just hoping you could provide a little bit more color on what all went into that, was it mainly sales force reduction? And then do you see more declines for the remainder of the year? Do you see that stabilizing, kind of that 80 -- 80,000 or that $80 million quarterly rate? And then yes, just what you expect for the rest of the year. 
John Fowler: Well, you're trying to get an overall color, Tom, on the SG&A? 
Thomas Jackson: Yes, just what all is in that? Is that mainly S? Is there a lot -- is it mainly the sales force? Is there other... 
John Fowler: It's going to be more of the G&A. I mean, we broke out the reduction in the bad debt reserve that drove approximately $6 million of debt reduction. That now was obviously discrete to a contract renegotiation. There's like about $4 million in reduced employee costs. There's $2 million in professional fees. There's about $6 million in synergies related to Worldcolor. There's about $2 million that relates to legal and environmental reserves related to facilities that were sold, reserves that weren't needed. And then about $4 million of other miscellaneous spending reductions. So it's really an across-the-board approach. 
Thomas Jackson: And then the back half of the year, I mean, is there a lot more you can take out? Is it kind of... 
John Fowler: Tom, it's going to be continuous as we answer another question, this is an industry where it's about maintaining or trying to enhance your position as the low-cost producer. And that means it's all about continuous improvement and continuous cost reduction within the plant and within the office. 
Operator: Your last question comes from Haran Posner with RBC Capital. 
Haran Posner: First, just a clarification, I'm sorry if I missed that, but in terms of your 2012 guidance, are you still sticking with that in terms of the key items on revenue margin and cash flow? 
John Fowler: Yes, we're maintaining our guidance. I mean, as we've sort of talked on the call, as we've talked in the past, the first half of the year is the seasonal slower time of the year. Second half is the seasonally high period for profitability, but we have no reason to be making any changes to our guidance. [indiscernible] focused on cost. 
Haran Posner: Okay. That's great. And then In terms of integration costs just one clarification, I guess, you're now expecting $225 million. With respect to, I guess, first, how much of that has already been spent to date? 
David Honan: This is Dave. About $190 million of that has come through the P&L at this point. 
Haran Posner: Okay. That's great. And then, I guess, another question is does the $225 million guidance, does that include any sort of integration-related bonuses? And if not, if you can give us any kind of color on magnitude and timing of those. 
John Fowler: Yes, that's included in the $190 million. The amount that's been accrued is in the $190 million, as well as in the $225 million that we're talking about includes our projection for that. 
Haran Posner: Okay. That's great. And then, John, a question on pension. I guess, just -- could you give us an update in terms of what you expect? I guess, to reiterate your guidance for '12, is there some kind of an early sign you can tell us in terms of your contributions in 2013, and then specifically with respect to the MEP, when do you expect to make those payments? 
John Fowler: Dave, why don't you take that one? 
David Honan: Okay. The recent legislation change for funding really has a pretty minimal impact on us for 2012. We're expecting -- we've giving guidance before $56 million of pension contributions in '12. We expect that will come down by about $6 million once the final interest rates are given for that legislation. So $50 million in '12, and then we think going forward that legislation impact for '13 is going to reduce '13 contribution by $22 million going forward. As far as the MEPs payments, we continue to work with the trustees of both MEPs that we're negotiating an exit from those planned. And at this point in time, we don't have a better estimate of when we expect those cash flows to come out. We've got roughly $95 million accrued for those exits. 
Haran Posner: Okay. That's helpful. And then maybe one last question, if I may, for Joel. A big picture question. I guess, congrats on completing this integration, and I guess at this point going forward, we all know that additional or consolidation is inevitable on this industry. So I guess, my question is, are you now prepared to start or to start a new larger-sized deal domestically? And then what type of leverage would you willing to accept on the balance sheet in order to complete an acquisition like that? 
J. Joel Quadracci: Well, look, I mean, we switched gears just because we finished the integration this month, we actually switched gears a little while back in terms of moving the business forward. I think, that's evidenced by the transaction we did with Transcontinental exiting Canada, picking up the assets in Mexico, as well as our investment in India, which is, I think, an interesting opportunity. Look, we kind of look at our balance sheet as something we want to continue to be strong. It's proven to us in the past that having that strength is good for good times and in bad and being able to take advantage of opportunities whether they're good times or bad times. So we tend to remain pretty conservative on the balance sheet. And I think in this day and age, it's the right thing to do. In terms of the acquisitions or mergers, yes, I think there's going to continue to be consolidation. We really -- I mean, we've obviously created a muscle here to be able to do integration. I'm very proud of what we've done and how we've done it. But mergers and acquisitions for us are just another tool in the toolbox of what we're going to do with this company. So as we kind of think on it on a go-forward basis, strategically, it's about making sure that the core business is strong, that we're focused on not only creating good cash flow but continue to innovate so that our customers continue to want to be in this core space, but also looking for growing middle classes. I mean, that's the story behind India and Mexico. I heard a statistic recently that came out of the Aspen Institute that the middle class in the world is due to double by 2030, and obviously, that's not going to come from mature marketplaces, but it's going to come from these developing ones. And so I think, we're kind of -- our strategy is going to be broad. I mean, if there's an opportunity that comes along that makes sense, we'll do it, but we won't do it in terms of -- at the expense of over levering our balance sheet, which will prevent us from continuing to be successful as a company. So again, very disciplined approach, and we'll take it as it comes.
 So with that, I want to thank everybody for joining us today. But before we end the call, I want to leave you with one final thought that I'd like to share and that is on July 29, we mark the 10-year anniversary of the passing of my father, the founder of this amazing company. As a company, we not only celebrated his life that day, but we also celebrated what he created over the course of his career and what he taught us about creating opportunity in times of adversity. We were all brought up to feel that we were capable of doing more, and in the 10 years since his passing, we have proved that and much more. We are a company with a soul and a company that will continue to innovate and take advantage of sensible opportunities now and into the future that are thrown our way now. And just as we continue to build this company, founding it daily, we'll repeat what has been done over and over again in the past. And so with that, thank you, all, for joining the call, and we'll see you next quarter. 
Operator: Thank you. This concludes today's conference call. You may now disconnect.